Operator: Greetings ladies and gentlemen, and welcome to the Thermon Group Holdings Fourth Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, that this conference is being recorded. I will now turn the conference over to our host Kevin Fox, Chief Financial Officer. Thank you. You may begin.
Kevin Fox: Thank you, Diego. Good morning and thank you for joining today's fiscal 2021 fourth quarter conference call. Earlier this morning we issued an earnings press release, which has been filed with the SEC on Form 8-K and is also available on the Investor Relations section of our website. We have also updated our investor presentation, which includes a summary of our ESG achievements in fiscal '21. During the call, we will discuss some items that do not conform to Generally Accepted Accounting Principles. We have reconciled those items to the most comparable GAAP measures in the tables at the end of the earnings press release. These non-GAAP measures should be considered in addition to and not as a substitute for measures of financial performance reported in accordance with GAAP. I'd like to remind you that during this call we may make certain forward-looking statements regarding our company. Please refer to our annual report and most recent quarterly report filed with the SEC for more information regarding our forward-looking statements, including the risks and uncertainties that could impact our future results. Our actual results may differ materially from those contemplated by these forward-looking statements and we undertake no obligation to publicly update any forward-looking statement, whether as a result of new information, future developments or otherwise, except as may be required by law. With that, we will turn to the opening comments from Bruce Thames, our President and Chief Executive Officer.
Bruce Thames: Thank you, Kevin and good morning. We hope everyone listening is staying safe and in good health. We appreciate you joining our conference call and for your interest in Thermon. Kevin Fox, our new CFO is here to provide additional information on our Q4 and full year financial performance following my remarks. I'd like to take a few moments to reflect on a very challenging year in fiscal 2021. As the year began, the world and the global economy were faced with the worst pandemic in 100 years and by far the worst demand destruction in the history of the oil industry. Despite the challenges, I have been impressed with how this team has responded to every obstacle. They kept the health and safety of our employees and customers as the top priority and were successful in that endeavor. In addition to having no workforce transmissions of the virus, we had zero recordable and lost-time incidents in the fiscal year, which is among the best in the industry. In addition, the team was laser-focused on value preservation, while serving our customers and exemplifying our core values of care, commit and collaborate. The team was able to restructure the business and reduce SG&A costs by $22 million in the year of which, we believe 80% is structural, while driving continuous improvements to achieve an additional $3.8 million in savings in our manufacturing operations. Finally, the team remained focused on strategically positioning the business for future success. In the year we drove globalization of our process in environmental heating product lines and a heightened focus on capitalizing on the installed base of high value MRO/UE revenue opportunities. We also launched nine new products, ranging from the Genesis Network, a wireless self-healing mesh network and supervisory software to new trace heating solutions that pushed the envelope of performance in the industry. Last but not least, we revisit our strategy in light of the major global shifts underway to capitalize on three key opportunities; developing markets, in-market diversification and technology-enabled maintenance. We believe these and the electrification of the industry will drive growth opportunities for this business now and in the years to come. I would like to thank the entire Thermon team around the globe for deftly balancing the immediacy of the pandemic and the industry downturn with long-term value creation, while putting safety and customers first. Turning now to the full year results. We finished the year with Q4 revenues in line with expectations to deliver $276 million in FY '21 revenue, a 28% decline from fiscal year '20. While underlying operating performance was solid in the quarter, there were a number of unusual items that impacted both cost of goods sold and SG&A, resulting in EBITDA margins that fell below expectations. Kevin, will provide more details on these items later in the call. As a result, adjusted EBITDA of $37 million fell below expectations for the full year, down 43.2% from prior year. Decisive actions to manage costs help offset the negative impact of the decline in end markets. Throughout the year, the business continued to generate cash with $22.5 million in cash flow in the fiscal year, paying down $27.5 million in debt during the year. Full year adjusted EPS of $0.34 a share was down 55% from fiscal year '20. Turning now to a discussion of our end markets. We are beginning to see some signs of improvements in our end markets that calls for cautious optimism. While we have not yet returned to pre-COVID levels of activity, we continue to see sequential improvements in maintenance spending that are above and beyond normal seasonality despite the lockdowns that occurred in January as variants caused a resurgence in cases. As we look to the chart on page four of the presentation, you can see that greater than 55% of our end markets are tied to chemical, petrochemical, natural gas and power. With natural gas as a bridge fuel and the linkage of chemical, petrochemical and power markets to the emergence of the middle class and developing economies, with the growth outlook across these sectors is much more robust than upstream oil, which now represents just 16% of our revenues. With numerous projects in various stages of planning and execution, we are well positioned to capitalize on a shift to biofuels, as evidenced by our recent award for a biodiesel plant on the Gulf Coast. In addition, we see significant opportunities in more diverse end markets with favorable growth potential, such as rail and transit, commercial and food and beverage in the coming years. A couple of examples include a recent award for environmental heating in a copper mine in Eurasia and an award for cab heating on a sizable transit project here in the US. Moving on to Slide 5 of the presentation. While orders were down 15% in the quarter from the prior year period and 22% on a trailing 12-month basis, the book-to-bill for the period was 1.05 times with backlog growing 8% year-over-year. While orders have not yet shown growth over the prior year period, we are seeing positive signs in our end markets with increased maintenance activity later in the quarter driven by commodity price increases, relaxed restrictions, enabling access to customer facilities and the need to maintain critical assets. We also believe that winter storm Uri will create opportunities in Texas and along the Gulf Coast as customers in the power and natural gas sectors winterized their assets in advance of the next winter heating season. Based upon these factors, we anticipate order growth in Q1 of fiscal year '22 over the prior year period. I would like to now hand it over to Kevin Fox, our CFO, to provide a more detailed review of the quarter and year financial results. Kevin?
Kevin Fox: Thanks, Bruce. Revenue in the fourth quarter was $73.3 million, a decrease of 17% versus the previous year. We had guided a $69 million to $76 million range on our previous call and we came in right in the middle of the range. FX was a minor tailwind, about $1.5 million with revenues down 19% on a constant currency basis. From a regional perspective, EMEA was the only region with year-over-year growth primarily due to the continued execution on multiple large projects with all other regions contracting in the period. Pricing continues to be positive with our quick turn margins up year-over-year. On a trailing 12-month basis, Thermon revenue was down 28% with FX only half of a point headwind for the full year. EMEA was flat, the USLAM region was down 39% year-over-year with Canada and APAC down 29% and 22%, respectively. As we think about progression through the year, we were down 37% in the first half and down 19% in the second half. While fiscal '21 was a difficult year due to the combination of the COVID-19 pandemic and disruptions to the oil and gas markets, we've seen an inflection during recent months. TTM bookings showed a positive year-over-year growth for the first time in March and global orders in the first six weeks of the new quarter are trending positively across the board. Maintenance spending appears to be increasing as facility access restrictions are easing, particularly in the Western Hemisphere. Margins came in at 37.1% in the quarter with a few specific items to call out. First, we've had to increase our estimated expenses related to an operational execution item in a non-US project, which accounted for $3.3 million of incremental expense in the period. We also incurred $0.5 million of productivity losses due to winter storm Uri as our employees and operations in San Marcos, Texas were impacted by the power outages in February. When adjusting for these items, margins would have been 42.4% versus a Q4 2020 apples-to-apples comparison of 44.7%, a decline of 230 basis points. When we start to analyze the business from that position, we have a few additional observations within the quarter. Manufacturing variances due to the rapid inventory reduction in Q4 and other expenses were approximately a 260 basis point headwind. Accounting for that negative impact, gets us to our historical average margins of 45%, but we have yet to account for mix. While the mix of MRO/UE versus greenfield in our legacy business was 67% versus 33%, a notch above the traditional 60-40 split, the greenfield margins were a slight headwind in the quarter due to the timing of some larger projects being executed. MRO/UE margins are slightly above historical averages, but not enough to offset the weaker performance in greenfield. As I mentioned earlier, pricing was up in the quarter and we're closely watching price versus cost as inflation appears to be gaining momentum. Margins in our backlog were 33.6% at the end of March, which is about 190 basis points above the average of the previous five quarters. As a reminder, we had a target of $3.9 million from continuous improvement in the year and we delivered $3.8 million. We expect continuous improvement initiatives to contribute approximately $2 million in fiscal '22. Moving to the next slide and a quick discussion on SG&A. First, we start with the marketing, general and administrative and engineering expenses from our SEC reported figures and then we back out depreciation as well as any expense or benefit from the non-qualified deferred compensation line. In Q4 '21 SG&A by that definition was $20.6 million, a reduction of $6.2 million from the comparison period. On a run rate basis, we believe SG&A will be around $20 million per quarter, as we had a number of non-recurring items that cumulatively impacted our reported Q4 '21 results by $2 million. The largest of which was bad debt reserves of $0.7 million related to a specific customer. Other items were related to various immaterial costs with none being larger than $250,000 individually. On a TTM basis, you can see the cost out execution in fiscal '21 of approximately $22 million, which excludes $8.6 million of total restructuring. We expect temporary cost reductions to come back in the P&L through the year, primarily driven by more travel as economies reopen and an expected increase of short-term incentive compensation. Those increases will be offset by the full year impact of previous restructuring actions. Adjusted EBITDA is on the right side of the page with Q4 '21 coming in at $6.2 million or 8% of sales and the full year result of $36.6 million or 13.2% of sales. Ultimately, it's a disappointing result despite our collective response and effort to manage through the challenges of the last year. However, we continue to believe the business will generate gross margins at or above our historical average and with the changes to cost structure over the last year, we have significantly improved our operating position. That combination will drive adjusted EBITDA growth in the coming quarters even under a scenario where customer spending takes longer to return to pre-pandemic levels. Not on the page but we wanted to highlight, GAAP EPS was negative $0.02 per share in the quarter with adjusted EPS of $0.03 per share. On a full year basis, fully diluted GAAP EPS was $0.03 per share with fiscal '21 adjusted EPS of $0.36 per share. Reconciliation tables were provided in the press release for reference. Next slide, we had previously commented around opportunities to improve our balance sheet and working capital management and Q4 '21 saw a significant reduction in our inventory on a sequential basis. While the inventory balance is up 6% year-over-year and driving the overall increase in working capital, inventory is down $10 million since Q3. As a reminder, we generally build inventory in advance of the heating season, so we would expect this to increase slightly in coming quarters before again reducing in the second half of the year. Total debt was down $27.5 million in the year to $148.5 million, driven by the organic cash flow generation inherent in our asset-light business model. We completed $20 million of incremental paydown in Q4. Net debt to adjusted EBITDA finished at 3 times, so although, we were able to reduce our debt balance, the adjusted EBITDA decline kept that ratio flat to Q3. We expect the business to continue to delever in fiscal '22, as the recovery takes hold, but we will also have the benefit of some low comp periods early in the new fiscal year. CapEx was $7.8 million, which includes a $4 million budgeted cut that was offset by some investment in our temporary power rental fleet to be prepared for a turnaround demand particularly in Canada during the 2021 calendar year. We continue to monitor potential M&A opportunities, but would likely look for reduction in our leverage ratio before taking any action. Therefore, optional debt paydown remains the top capital allocation priority. We still have $40 million of cash on hand and could potentially see that number decrease in coming quarters. A quick note on taxes; the tax rate in the quarter was impacted by the pre-tax operating loss, which also enabled us to carry back previous losses in the US region. This along with the impact of the GILTI tax rules impacted our full year results for a net tax benefit of $1.4 million. Going forward, we expect the effective tax rate to continue to be around 27% in fiscal '22. Before I hand it over to Bruce to present an update on strategy and '22 guidance, I wanted to provide some perspective on the first few months in the new role. While our end markets continue to be impacted by COVID, we are cautiously optimistic on fiscal '22. Book-to-bill is positive, maintenance spending is starting to return, our new product development process is accelerating and we have a sustainable cost structure that will drive operating leverage as volume recovers. While there were a lot of moving parts this year and especially in Q4, our balance sheet is strong and we continue to generate cash as a result of our attractive gross margins and asset-light business model. My colleagues across the world are passionate and committed to achieving our goals and challenge the teams to simplify, automate and focus on what we can control. It's been a difficult year for all, but we adapted quickly to the many changes both, externally and internally that we encountered. We enter the year with a renewed energy to execute on the plan for fiscal '22. The leadership team remains focused on driving long-term growth and attractive sustainable markets, improving profitability and increasing returns in our investors' capital. Bruce, with that, I'll turn it back to you for an update on strategy.
Bruce Thames: All right. Thank you, Kevin. If you'll turn now to the strategy update slide. Moving on to Slide 5 in the -- or excuse me -- it's slide 9 from the presentation. Thank you, Kevin. All right; since 2015 downturn in the energy sector, this team has worked to successfully reposition Thermon to capitalize on growing demand for chemicals and petrochemicals. With the recent events and the shift towards decarbonization, the Board and management have revisited our strategy to capitalize on some of the transitions underway. Our focus has been on using technology to effectively mine the existing installed base, while looking for new geographies and markets to replicate the model of growing installed base to capitalize on high value recurring revenue streams. From these efforts, Thermon is highly focused on the electrification of industry that is underway, which we believe will accelerate the transition from steam and reduce onsite natural gas heating in many applications. We see growth in developing markets, particularly in the Eastern Hemisphere as one of the significant opportunities for expansion going forward. The emerging middle class in India, China and other Asian countries creates growing demand for our solutions in our traditional markets for chemical, petrochemical and power. Diversification of our end markets is the second area identified as a significant driver for growth going forward. We are targeting goal of growing other segments of our business, such that less than 40% of revenues are generated from oil and gas by the end of fiscal 2026. Thermon has participated in many of these diversified end markets historically, but more on an opportunistic basis. With the expansion of the portfolio to include process and environmental heating and increased direct sales and channel focus, many of these sectors represent significantly greater overall opportunity. The shift to renewable energy sources such as biofuels, concentrated solar power and wind power, all represent opportunities for growth. Examples of other sectors with promising growth that we have touched historically include commercial, rail and transit, as well as food and beverage. The third area identified is technology-enabled maintenance. We remain committed to investments in new product development that include connected and smart control solutions, advanced heating technologies and material science. Even with the recent downturn in customer demand, we maintained our prudent strategy to invest through the cycle and spent 2.7% of revenue on R&D. One of our nine product launches last year, the Genesis Network enables customers to improve safety and reliability, while reducing total cost of ownership. With IoT capabilities, the new Genesis platform creates opportunities for recurring revenues from software as well as troubleshooting and predictive maintenance. All of these solutions further strengthen the relationship with our end customers and improve our abilities to capture recurring revenues from the installed base. Turning now to Slide 10, on guidance for fiscal '22. Going forward, we maintain a laser focus on driving operational improvements to positively impact the overall profitability of the business. We are committed to delivering $2 million in cost savings through continuous improvement, while holding the line on SG&A expenses in the year. We anticipate the cost savings combined with price increases will more than offset any inflationary increases to drive meaningful EBITDA margin expansion in the year. We also remain committed to and are investing in our strategic initiatives to drive growth in the business going forward. With a strong pipeline of new solutions, our commitment to new product development and commercialization remains steadfast with an approximate 2.7% of revenues dedicated to these efforts in the fiscal year. While the level of uncertainty in the current environment remains, we are reinstating revenue guidance for fiscal '22 to a range of $278 million to $295 million for the full year. In conclusion, I do not believe this quarter's results are representative of the underlying strength of our business model nor does it change our expectations for fiscal year '22. When the unusual expenses in the quarter are isolated, the underlying profitability and cash flow are more consistent with our historic performance. We expect the work done in fiscal year '21, will generate operating leverage and show significant improvements in financial performance in fiscal year '22. We have a talented team that remains committed to serving our customers and creating long-term value for our shareholders. By focusing on our operational and strategic initiatives, Thermon is well positioned to emerge a stronger, more profitable business as our customers and end markets emerge from this pandemic. I'd like to pause now and turn it back over to Diego for the Q&A portion of our call.
Operator: Thank you. And at this time we will be conducting a question-and-answer session. [Operator Instructions] The first question comes from Scott Graham with Rosenblatt Securities. Please, state your question.
Scott Graham: Yes, hi, good morning, Bruce and Kevin.
Bruce Thames: Good morning, Scott.
Scott Graham: So, I was -- I was hoping that you guys would be able to unbundle little bit more the $5.8 million of unusual items here. In particular, the $3.3 million hit on execution, which is, it's obviously a really big number and kind of maybe help us understand why it happened and what you're doing to avoid that from happening going forward or is that just really an isolated situation but even still it was large? Just shed some light on the $5.8 million, in particular the $3.3 million.
Bruce Thames: Yes, I'll -- Scott, this is Bruce, I'll jump in on the $3.3 million. We had a very large time and material contract that we had in -- it was outside of the US and essentially we had warranty rework that had to be done during the winter months during COVID protocols, which drove some exceptional expenses. It's unusual and it is one -- it's a one-time isolated project and we -- we do not foresee this recurring going forward. But Kevin, if you want to just maybe touch on some of the other items in that $5.8 million.
Kevin Fox: Yes. And Scott, further residual, you've got the impact of the winter storm in there that was $0.5 million, the bad debt reserve for a specific customer, we're back to back there -- there in EPC and EMEA region, but ultimately felt like it was appropriate reserve for that at this point in time. And then really with the rest of the items in SG&A, just a lot of little things, whether it's timing, whether it's certain things getting resolved, which was the right time to take those into the P&L, so. As I mentioned, individually, none of them were greater than $250,000 but really just accumulation of a few things happened here at the end of the quarter. So, we look at those expenses as unusual time limited and I think as we look forward in the business, we certainly expect things to get back to a more normal stabilized performance here [Technical Difficulty]. Scott, are you still with us?
Scott Graham: Yes, no, I'm…
Operator: Go ahead, sir.
Scott Graham: So, yes, so essentially the $5.8 million goes away, I get that. Can you tell us the split between cost of sales and SG&A of the $5.8 million?
Kevin Fox: Let's see, now $3.3 million, that would have been gross margins. The residual would have been your base cost, but you need to factor in about, let's call it about $700,000 into cost as well. So, probably, $4 million versus $1.8 million on COGS versus SG&A, Scott.
Scott Graham: Okay. And one of the big highlights of last quarter was your discussion around where you expect margins to be both in 2022 as well as in 2023. So, does your sort of goal of being up 200 basis points to 300 basis points of -- in EBITDA margin, does that sort of relate to the trailing 12 months through the December quarter and we kind of just push this quarter aside making that number more like a 400 basis points plus EBITDA margin expectation for improvement for 2022?
Bruce Thames: Yes, Scott. As I said in my script, based on this quarter, I view this is an event, not a trend and our expectations on fiscal year '22 and margin expansions that we shared last quarter are unchanged.
Scott Graham: Right. Bruce, but what I'm saying here is that, that guidance was 200 basis points to 300 basis points. So, are you saying…
Bruce Thames: Based on where we were as of the trailing 12 in December, our view is unchanged.
Scott Graham: Very good. And your view on '23 for EBITDA margin, 22% plus, is that unchanged?
Bruce Thames: Yes, that's correct. That is unchanged.
Scott Graham: Okay, thank you.
Bruce Thames: Yes, no problem.
Operator: Thank you. Your next question comes from Brian Drab with William Blair. Please state your question.
Brian Drab: Hi, thanks. I'm just going to begin with MRO. I know you said that you believe that you're starting to see MRO activity picking up. And can you just elaborate on that? I'm just opening up the slides now for the first time, so I don't know if there is some detail, but can you quantify it all what you've seen in MRO growth and what you're expecting for the year for MRO?
Bruce Thames: We've seen a nice progression through the year. I think maybe if you -- you should kind of claw back to our Q1, MRO was off 48% and I'd like to note that this is really unusual for us in a downturn. Normally maintenance spending stays pretty robust but the pandemic limited access to facilities and so we saw really a just an acute drop off in maintenance. And as we said, we believe that there is building demand for maintenance activity, the pent-up demand. So, we were off 48%, the progression next quarter was around 34% if I'm not mistaken, then 24%. I think we finished this one around 14%. So we've -- and that's a decrement to the prior year. Particularly, we saw in March an inflection where we actually saw positive MRO growth year-over-year in the month of March. The thing that really negatively impacted our fourth quarter the most is that, as you recall, starting January, the lockdowns in Canada, in Europe, now in India, all of those really impacted -- negatively impacted those MRO sales early in the quarter but February through March, we saw those gain momentum. So, we are seeing a nice trend in the right direction.
Brian Drab: Okay. Thanks, Bruce. And what have you seen in terms of MRO in April and May?
Bruce Thames: We are seeing that trend continue and maybe even gain speed.
Kevin Fox: And Brian, the caveat I would have that would just underline maybe previous comments, Bruce made around, it's going to depend regionally on where things are at from an opening standpoint, geographies like the US, are obviously going to be a little further ahead, places like Canada, a little further behind as you start to look globally, currently places like India are still struggling. So, it kind of reinforces the thesis that it's not necessarily a change in underlying demand. But it's more as we view it driven by access restrictions, but certainly the first few weeks in the New Year have shown promising in areas that are opening up.
Brian Drab: Okay, great. And then, as long as you're talking about some of the regions, can you break down what the -- what you saw in terms of revenue and orders in the major regions in the quarter?
Kevin Fox: So, revenues in the quarter, Brian, US let's see were down let's say 28% in the US, down about 23% in Canada, EMEA was actually up quite positively. I mentioned the large projects previously, that's a plus 34% and APAC down 16%, that should get us to the down 17% in the quarter.
Brian Drab: Okay. EMEA, again, sorry, was what, EMEA?
Kevin Fox: Apologies; 34% positive.
Brian Drab: Plus 34%. Okay, thanks. And then I guess just two more questions. The Texas Freeze that we had in February and you mentioned that could drive demand longer term. Have you seen any -- can you talk any more about that issue and driver and are there any regulations maybe that are going to go into place or have gone into place that could drive demand for your products?
Bruce Thames: Yes. So, first of all, it was a -- I mean large and widespread impact to the infrastructure and it was not only power, but it also included the natural gas infrastructure. I can tell you there are a new -- a number of bills currently in the Texas Legislature that are underway. Several of which would really have a positive overall impact on business opportunities going forward. I can't tell you -- the session is about to end, I can't tell you that those will pass, but they have had a pretty significant support. I do believe in the short-term kind of the near-term customers are a bit a wait and see to see what legislation is passed to make sure that what they do is in compliance with any new laws or legislation that's passed. However, we have seen some -- some nice business here just in the last few months as customers are doing some work, but we would expect that to gain momentum in advance of the upcoming winter season.
Brian Drab: Okay, thanks. And then, maybe the last one is for Kevin. But I'm just curious if you could give any comment on this. If we get to the end of fiscal 2022 and revenue comes in the range and we're looking to then fiscal '23 and potential for things to get better. Let's say you get an incremental $50 million in revenue or something in, what would the incremental margins the on that type of growth longer term given the new cost structure like incremental EBITDA margin and revenue and if things start to really improve?
Kevin Fox: Brian, I won't speak to the, maybe the incremental themselves, but would kind of go back to previous comments and questions around those long-term outline we've kind of put out there. If we think about the incremental improvements to EBITDA over the next 12 months, we think that's unchanged. And certainly still having a path to that 22% to 25% range on EBITDA margins over the longer term. I think -- I think all of that is fully intact and in front of us. And when we think about the opportunity to go after some of these incremental strategic initiatives as well. They are adjacent, whether it's investments on the front end of the business, on the channel, new product development, we're putting those plans together as well, but I think they'll certainly be incremental and accretive to the business and we look at that 22% to 25% type of EBITDA range over the long term is fully achievable still I think this quarter. Like Bruce said, it's a bump in the road, not a -- not the start of a trend.
Brian Drab: Yes. Perfect, okay. Thank you very much.
Kevin Fox: Thank you.
Operator: [Operator Instructions] Our next question comes from Jon Braatz with Kansas City Capital. Please state your question.
Jon Braatz: Good morning, Bruce, Kevin.
Bruce Thames: Good morning, Jon.
Kevin Fox: Good morning, Jon.
Jon Braatz: Bruce, could you talk a little bit more about the subject of moving from maybe steam to electrification, heat tracing? Is this being driven by cost? Is it being driven by ESG and sort of how big of an opportunity could this be going forward? And secondarily, are you seeing the possibility of a conversion to electric steam tracing, or is it just new capital projects going directly to electrification and not using steam? Anyways, a little -- whatever you could say about this that would be great.
Bruce Thames: Yes. Jon, it's great question. The shift from steam to electric has been underway for many years. The last kind of market information that we had kind of gotten is somewhere in the mid-40% of the market was still steam and the balance was electric, so somewhere in that range. What we believe is that the, the ESG, the push towards decarbonization will accelerate that trend. The advantages of moving to electric are it's actually more efficient. You have a higher level of control and then certainly it's cleaner, so -- and lower maintenance. So, those are all kind of the drivers. The setback would be just the initial capital outlay. But this is a trend that's been underway. But we believe that, that just kind of the shifts that we're seeing globally will accelerate that transition.
Jon Braatz: Okay. Okay, thank you very much.
Operator: Thank you. That's all the questions for today. I'll now turn it back to Bruce Thames for closing remarks. Thank you.
Bruce Thames: All right, thank you, Diego. And thank you all for joining the call here today. We appreciate your interest in Thermon, and enjoy the rest of your day.
Operator: Thanks. This concludes today's conference. All parties may disconnect. Have a good day.